Operator: Good afternoon. My name is Vanessa and I will be your conference operator today. At this time, I would like to welcome everyone to the Jabil earnings conference call. (Operator Instructions) Ms. Walters, you may begin your conference.
Beth A. Walters: Thank you. Welcome to our third quarter fiscal year 2008 call. Joining me on the call today are President and CEO Tim Main and our Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website in the investor section, along with today’s press release and a slideshow presentation on the quarter. You can follow our presentation with the slides that are posted on the website and begin with slide two now. Our forward-looking statement -- during this conference call, we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected fourth quarter fiscal 2008 and full fiscal year 2008 net revenue and earning results; our long-term outlook for our company and improvements in our operational efficiency and in our financial performance. Statements are based on current expectations, forecasts, and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10-K for the fiscal year ended August 31, 2007, on subsequent reports on Form 10-Q and Form 8-K, and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events, or otherwise. Please turn to slide three and four now for the results of our third quarter. On revenues of $3.09 billion, GAAP operating income was $63.1 million. This compares to $33.6 million GAAP operating income on revenues of $3 billion for the same period in the prior year. Core operating income excluding amortization of intangibles, stock-based compensation, and restructuring charges for the quarter was $85.3 million, or 2.8% of revenue, as compared to $87.1 million, or 2.9 for the same period in the prior year. Core earnings per diluted share were $0.26, as compared to $0.23 for the same period in the prior year. On a year-over-year basis for the quarter, this represents a 3% growth in revenue with core operating profits declining 2%. On a sequential basis, revenues increased by 1% while core operating income increased 26%. Please turn to slide five for a discussion of revenue by division and sector for the third fiscal quarter. Looking at the EMS division, which represented approximately 69% or $2.1 billion, growth of 5% on a sequential basis. Core operating income for the division in the quarter was 3.6% of revenue. Sector movements are as follows: in the automotive sector, production levels increased by 21% versus the prior quarter, primarily reflecting growth across four customers in this sector; computing and storage decreased 1% from the second quarter; industrial instrumentation and medical increased 5% from the prior quarter, reflecting a return to growth across multiple customers in this sector, including new assemblies with our medical customer base; the networking sector levels of production increased by 2% from the previous quarter; the telecommunications sector increased 4% sequentially, primarily as a result of the continued integration of the Nokia Siemens network relationship. On the consumer division, which represented approximately 26%, or $800 million in the third fiscal quarter, a sequential decline of 7% reflecting declines in the display sector. Core operating income for the division in the quarter was a negative 0.3% of revenue. Sequentially sector movements are as follows: the mobility sector increased 8% from the prior quarter, primarily as a result of growth in volumes with our largest customer in this sector; the peripheral sector declined by 3% from the second fiscal quarter as a result of fewer set-top box shipments than anticipated; the display sector decreased by 35% from the second quarter, reflective of a very challenging European demand environment with our customers in this sector; after-market services division represented approximately 5% of overall company revenue in the third fiscal quarter. Core operating income for the division in the quarter was 6.8% of revenue. Revenue was consistent with the prior quarter. Please turn now to slide six for our divisional and sector information for the quarter in percentage terms: automotive, 5%; computing and storage, 13%; instrumentation, industrial and medical, 19%; networking, 22% of revenue; telecommunications, 7%; and other, 3%, for a total EMS division of 69%. In the consumer division: displays represented 5%; mobility, 11%; peripherals, 10%; again, for consumer division 26% overall revenues. And the after-market services division, 5% of revenues. In the third fiscal quarter, two customers accounted for more than 10% of revenue, Cisco Systems and Hewlett-Packard, with our top 10 customers in the quarter accounting for approximately 63% of our revenue, as compared to 64% last quarter. Selling, general and administrative expenses increased approximately $7 million in the quarter. Research and development costs were $8 million in the quarter. Stock-based compensation was $10 million during the quarter, lower than forecast as a result of the reversal of stock-based compensation associated with performance-based restricted stocks, which is no longer expected to fully [deft]. Net interest expense fell approximately $4 million from the prior quarter, reflecting higher average cash balances and lower average debt rates during the quarter than in previous quarters. The tax rate in the quarter was 19%. I’ll now turn the call over to Forbes Alexander.
Forbes I.J. Alexander: Thank you, Beth. Good afternoon. I would like to review our balance sheet and some of our working capital metrics and would ask you to turn to slides 7, 8, and 9. The company’s sales cycle in the quarter improved by two days to 21 days. Day sales outstanding improved by one day to 38 days. Accounts payable days outstanding improved by two days to 65 days. Inventory days increased by one day in the prior quarter with inventory turns being eight. Cash flow from operations was approximately $147 million in the third fiscal quarter. Return on invested capital was 9%, as compared to 8% in the second quarter. Cash and cash equivalents were $860 million, the balances being $320 million higher than the previous quarter. Our capital expenditures during the quarter were approximately $66 million. Depreciation for the quarter was approximately $61 million and EBITDA in the quarter was $146 million, or 4.7% of revenue. During the quarter, we continued to add flexibility to our capital structure and completed an add-on $150 million to our 8.25% 10-year senior unsecured note offering. We also completed an on-balance sheet Euro-Asian accounts receivable securitization program with a capacity of up to $200 million. [inaudible] on this facility are effectively at rates of LIBOR plus 40 basis points, a very cost effective form of capital. At the end of the quarter, approximately $150 million was outstanding on this facility. We are very pleased with our performance in the quarter, executing to the midpoint of our revenue guidance, our core operating income levels and core earnings per share exceeded our previous guidance, while improving our working capital management in excess of $50 million, or two days. Positive steps on our path to returning the company to our long-term targeted return levels. The results posted for the first three quarters of fiscal 2008, revenue of approximately $9.5 billion and core operating income approximately $275 million, or 2.9% of revenues, represent growth in revenue of 4% over the first three quarters of fiscal 2007, and core operating income dollar growth of 21%. Cash flows from operations of $146 million remained strong in the quarter. The first three quarters have produced approximately $420 million of cash flow from operations. Fiscal year 2008 to date free cash flows, or cash flows from operations after capital expenditures of $215 million and dividend payments of $44 million, are approximately $160 million. I briefly wish to update you on our restructuring activity. Charges recorded in the third quarter were approximately $3 million. Our overall rationalization plan is being managed according to our previously announced plan, with total charges recorded being $244 million. We continue to expect our total charges to be $250 million, as we previously announced. During the quarter, cash payments associated with these restructuring activities were $15 million, with total cash payments to date against the plan being $118 million. The total cash costs of such charges are estimated to be $175 million. Discussions with our employees [that represent this] continue and we are complying with all statutory and consultation periods required of us. As a result, we currently estimate that the majority of the balance of cash payments shall occur during the next three fiscal quarters. I’ll now ask you to turn to slide 10 and I’ll cover a business update, specifically for the fourth quarter of 2008. We now estimate revenue in our fourth fiscal quarter to be in the range of $3.2 billion to $3.3 billion. As a result, core earnings per share are expected to be in the range of $0.29 to $0.33. As a percentage of revenue, we estimate core operating margins to be in the range of 3% to 3.3%. Selling, general and administrative expenses are estimated to be $118 million. Research and development costs are expected to be $9 million. Intangibles amortization, also expected to be $9 million. Stock-based compensation is estimated to be approximately $15 million in the fourth quarter. And interest expense is estimated to be $23 million in the quarter. Based upon the current estimate of production and income levels, the tax rate on core operating income is expected to be 19% in the quarter. Capital expenditures for the quarter are estimated to be in the range of $60 million to $85 million, while capital expenditures for the full year are now estimated to be in the range of $275 million to $300 million. I’ll now ask you to turn to slide 11. Revenue by division and sector for the fourth quarter are estimated to be as follows: the EMS division revenues are estimated to be consistent with those of the third quarter, or an increase of 10% on a year-over-year basis. Turning to the automotive sector, this sector is expected to decrease by 10% in the third quarter, reflective of normal seasonally lower levels of production. Our computing and storage sector is estimated to be consistent with volumes of the third quarter. The industrial instrumentation and medical sector is estimated to increase by 3% in the third quarter. The networking sector, we expect consistent levels of production with the third quarter. And finally, the telecom sector is estimated to increase by 10% from the third quarter, reflecting strength in Europe from microwave products and the ramp of a new relationship in this sector. Turning to the consumer division, we estimate an increase of 18% over third fiscal quarter, an increase of 1% on a year-over-year basis. The breakdown on the sectors is as follows: displays is expected to be consistent in the fourth quarter, reflective of the European demand environment our customers are experiencing. The mobility sector is estimated to increase by 20% from the third quarter, reflecting increasing levels of demand and the ramp of new products across a number of our customers in this sector. The peripheral sector is estimated to increase by 25% in our fourth fiscal quarter, reflecting increased demand in printing products and new product awards with our existing set-top box customers. The after-market services division is expected to be consistent with the third fiscal quarter. Please turn to slide 12. With the fourth quarter guidance, our current estimate for the full fiscal year is now revenue in the range of $12.7 billion to $12.8 billion, with core operating income expected to be in the range of $370 million to $385 million, or 3% of revenue. As a result, core earnings per share are expected to be in the range of $1.11 to $1.15. At this midpoint, this guidance reflects a year-over-year growth in revenues of 4% and core operating income growth of 18%, EBITDA of approximately $615 million or growth of 12% on a year-over-year basis. On a divisional basis, we estimate for the full fiscal year revenues in the EMS division to be approximately $8.3 billion; consumer division, approximately $3.8 billion; and the after-market service division, $0.6 billion. Core operating income expectations are estimated to be approximately 3.4% for the EMS division, 1.2% for the consumer division, and 7.1% for the after-market services division. Cash flows from operations are estimated to be $600 million for the fiscal year, providing approximately $260 million of free cash flow after capital expenditures and dividend payments. I would like to hand the call to Tim Main.
Timothy L. Main: Thanks, Forbes. Fiscal Q3 was a good quarter, all things considered. Margins and cash flow were a bit better than expected and the groundwork has been laid for a more robust resumption of revenue growth in the coming quarters. Fundamentally it was a good quarter of execution in a challenging macroeconomic environment. In the interest of keeping things simple, I will make a few brief comments on three areas of keen interest: current end market conditions, growth, and margin expansion. The end-market environment has not changed materially in the past 90 days. Conditions are weak but not worsening in a significant way. Macroeconomic indicators appear to be weakening. This has yet to manifest in dramatically lower production levels for our company. Our current expectation is that macroeconomic conditions will continue as they are today for the foreseeable future. Any significant changes to the environment, positive or negative, will have a direct consequence to our financial results. Still, it is under these less-than-exciting conditions that we expect robust resumption in revenue growth in the coming quarters. There are several underlying factors driving this expectation. One is revenue stability in our mobility sector. We have said for several quarters that we expected revenue to stabilize in mid fiscal 2008 with the resumption of growth in the fiscal Q408 to fiscal Q109 timeframe. We are now seeing this expectation come to fruition and hope to see an acceleration of this trend in fiscal 2009, as new program wins and significant expansion with existing customers is folded into our results. In addition to mobility, we note particular near and intermediate term in our telecom and peripheral sectors. We have secured new customers and have a good pipeline of opportunity with existing customers to support this growth expectation. Across our other sectors, new business wins and market share expansion is offsetting weaker demand due to the poor macroeconomic environment. Finally, I expect [the trend to] outsource electronic design, assembly, fulfillment and service to drive outstanding long-term opportunity for Jabil and other leading companies in our industry. Generally speaking, the recessions of 1991-92 and 2001-02 were followed by very strong periods of growth for Jabil and the industry. Our strategy of diversification in providing service excellence across targeted sectors should serve us well in the years ahead. I know that margin expansion is an important area of discussion but I want to make a brief comment on an equally important area, and that is cash flow generation. Jabil's cash flow generation is actually quite good, especially so in a less-than-receptive macro environment. EBITDA in fiscal 2008 is expected to increase 13% from fiscal 2007 levels. EBITDA margins are expected to be 40 basis points higher in fiscal ’08 than in fiscal ’07. With capital expenditures relatively constant, free cash flow is actually increasing as a percentage of EBITDA, a healthy condition for us to be in. We also expect to expand core operating margins in coming quarters, largely from better absorption of our cost base and leveraging operating expenses as revenue expands. Additionally, we will proactively manage poor performing areas of our business and will reduce or eliminate our exposure to areas which do not conform to our long-term strategic or financial objectives. The resumption of growth, good fundamental execution and focused attention to bring all sectors up to high performance levels should give us an increasingly positive outlook over the next year. We look forward to delivering results and achieving the high levels of expectations that have always been placed on Jabil.
Beth A. Walters: Operator, we’re ready for the question-and-answer period.
Operator: (Operator Instructions) Your first question comes from the line of Steven Fox with Merrill Lynch.
Steven Fox - Merrill Lynch: Good afternoon. Just maybe diving into the gross profit improvement quarter over quarter, if I include options expense, it’s a pretty impressive $23 million sequential improvement on like a $30 million gain on sales. Can you sort of break down that dollar gain and how you got there?
Timothy L. Main: I don’t think we’ll break down the dollar gain. I think it’s several factors. One is certainly better leverage in our mobility sector. That was up better than expected. Our automotive group actually swung to a profit this quarter, which was very helpful to us. We had some better efficiency in other operations and a couple of other sectors that did a little bit better than expected. We may have seen a little bit of a boost also from the restructuring efforts on this past quarter but not a huge amount.
Steven Fox - Merrill Lynch: Great, and then just on that 10% increase in telecom that you are talking about for this quarter, how much is from that new program win?
Forbes I.J. Alexander: There’s very little from a new program. It’s primarily some strength we’ve seen in Europe in microwave products.
Steven Fox - Merrill Lynch: Great. Thank you very much.
Operator: Your next question comes from the line of Amit Daryanani from RBC Capital Markets.
Amit Daryanani - RBC Capital Markets: Thanks. Good afternoon, guys. Just a question on the restructuring benefits, I think last quarter we talked about seeing a $10 million benefit in fiscal Q4. Are we still on track for that or did some of those benefits get pulled into fiscal Q3?
Forbes I.J. Alexander: I think that there’s probably a couple million dollars slipped back into Q3 here, as we’ve -- you know, the cash expenditures in the quarter were $15 million, which was a little bit higher than we’ve initially anticipated. So we had some employees leave the company during the period, so it’s probably a couple million, $2 million to $3 million at most.
Amit Daryanani - RBC Capital Markets: All right, so we should see about like a $7 million, $8 million benefit next quarter then for the restructuring, right?
Forbes I.J. Alexander: That’s fair.
Amit Daryanani - RBC Capital Markets: And you know, I mean, you guys are obviously doing a pretty good job executing despite a tough demand environment. Just looking at the display business, I mean, that continues to struggle. Could you talk about what sort of timeline would you look at to eventually exiting the business if things don’t stack up? And maybe just talk about what do we need here -- do we need more revenues or just some operationally things need to be improved over there?
Timothy L. Main: Yeah, we get a lot of questions about this, probably justifiably so. I mean, we are talking about it as an area that’s under close scrutiny and remedial action plans. And we’ve talked about a two- to three-quarter window of really assessing the strategic fit with the rest of our business and certainly revenue would help, that that sector has landed. A number of new customers, Japanese and Korean customers, and revenue expansion would help. Right now we’ve got a significant inventory correction, along with some weak demand in that area that’s really, really impeding the progression in that sector. So not a long-term struggle. Officially it’s still a sector that we have interest in and would like to see turn around but we certainly won’t incur the type of performance that we have on a long-term basis.
Amit Daryanani - RBC Capital Markets: All right, but Tim, there’s nothing operationally that we need to address? It’s more of getting more revenue through the pipeline --
Timothy L. Main: No, we’re actually pretty good at building -- we’re actually pretty darn good at building these TV sets. I think we have the best operations in Europe by far. They are located in Eastern Europe, principally Poland. Very, very good fundamental execution, very high quality levels and I think attractive to a number of customers. It happens to be an industry with expanding volume and a lot of need for outsourcing, so it should be a sector that’s ideally suited to the value proposition that Jabil presents to the marketplace. But there’s also a lot of structural issues with glass manufacturers and where the profit is actually earned in terms of the value chain. So we are assessing that very closely and we want and will drive improvement in that sector and continue to assess its strategic fit for us for our business. In spite of that, that’s one of the negative parts of the story. I think if we look back at the analyst meeting, we really talked about automotive and displays needing to get modestly better, not move into quadrant one or quadrant two, which would be high-growth, high return sectors, or at least high return sectors, but needing to be -- to improve modestly. And then we also expected the mobility sector, which still had accessible returns but growth was lower than necessary and then the telecom sector to move into a strong growth and return posture, and that is what we are seeing. And with automotive swinging to a profit in the most recent quarter, I feel very good about our ability to control the profitability in that area. So I think all in all, when you look at the total picture we’re on track to do exactly what we said we would do.
Amit Daryanani - RBC Capital Markets: Fair enough. Thanks a lot and congratulations on the quarter.
Operator: Your next question comes from the line of Kevin Kessel with J.P. Morgan.
Kevin Kessel - J.P. Morgan: The mobility segment in the quarter was above plan. I think you guys were looking for flat and it was up 8%. Can you describe what exactly drove that? Was that perhaps maybe the ramp of additional customers outside of the main one, or was it primarily the main customer? And then also, as a follow-up to that, the 20% growth that you are expecting for the fourth quarter, can you help give us a sense in terms of the overall breadth I guess of maybe the mobility segment, you know, as we look at the fourth quarter and going into ’09?
Forbes I.J. Alexander: With regard to the third quarter, the increase above expectation was primarily our largest customer and established customer in that sector, so we saw the results of really the integration of our service set with a green point activity, our Jabil green point activity there bearing fruit, and also some strength in the business lines that we operate in with them in the third quarter. With regard to the up 20 forward-looking guidance, that’s reflective of growth across a number of customers there. We are actually seeing increasing demand across all of our customers, in fact, in that sector. And if you’ll recall, you know, with our Jabil green point activity, we do have most of the major players in the handset market in that customer base, across from Nokia, Sony Ericsson, RIM, Motorola, and Apple, so we are seeing a good demand profile across all our customer base.
Kevin Kessel - J.P. Morgan: Forbes, is that for both assembly as well as plastics and decorative coatings, or --
Timothy L. Main: Yes.
Forbes I.J. Alexander: Yes, it is.
Kevin Kessel - J.P. Morgan: Okay, and is there any way --
Forbes I.J. Alexander: Principal customers in that sector, six of the eight are growing.
Kevin Kessel - J.P. Morgan: Right, and Tim, is there any way just to say at this point how many I guess of the original green point customers have transitioned into full manufacturing relationships?
Timothy L. Main: No, I don’t think we’re in a position to provide a lot of detail in that area. I think it will be a few quarters before we really start to talk about that in great detail. It is progressing.
Kevin Kessel - J.P. Morgan: Great. Thank you, guys.
Operator: Your next question comes from the line of Jeff Rosenberg from William Blair & Company.
Jeff Rosenberg - William Blair: Could you give us an update on, relative to the things you were talking about at the analyst day on how you see the mix over the next couple of quarters relative to your expectations that the next billion dollars of revenue growth could flow through at an 18% incremental operating margin?
Forbes I.J. Alexander: I think it’s relatively in line with what we talked about at the analyst day. I think perhaps the one exception there is the displays and Tim covered that a little bit earlier in this call, where we are seeing consistent levels with balances this year but we would expect some up-tick as we move into the seasonal high area in the first fiscal quarter. But in terms of the overall leverage and the way things are looking, if you look at -- you know, we talked about $1 billion, adding $1 billion of revenue and about an 18% leverage on that revenue base, predicated on the particular areas of displays, automotive, mobility and some telecom revenue coming through. And if you look at the progression we’ve made from our second fiscal quarter, just [going to] giving you the midpoint of our guidance in Q4, you see we are adding somewhere in the region of $35 million or so of core operating income on an increased revenue base of about $200 million, so that equates to about 18% type ratio. So we feel we are pretty much on track with some of the comments we made at that analyst meeting and the expectations that we have out there.
Timothy L. Main: Jeff, just keep in mind that that presentation was considering $1 billion in kind of a retrospective outlook. As Forbes says, we are certainly on track so far on to that, but depending on where the revenue shows up, some of the revenue might show up in facilities that are already fully utilized, in which case we’d have to expand capacity in those factories. So quarter to quarter, you may see some variation in how much operating leverage we gain. But when we look back in three or four quarters at the revenue increase, that is still the level of operating leverage we would expect to accrete.
Jeff Rosenberg - William Blair: And I guess that was my question, whether over a multi-quarter period as you looked, as your forecast continue to update, if you still saw the mix generally pointing you in that direction, but it sounds like so far, so good.
Timothy L. Main: So far, so good but I just -- I want to warn you that it will not be completely linear. It’s been linear so far. You know, we’ve got a few quarters to go and it’s unlikely to be completely linear throughout that process. Again, depending on how quickly the revenue shows up, how steep the ramps are, and which facilities the revenue shows up in. If they are fully utilized facilities, that operating leverage for that quarter might be a little bit slower. If we incur more significant start-up expenses for any significant steep ramps or any significant delays, that could decrease the operating leverage in that particular quarter. But again, we feel very good about the progress we are making and again, when we look back at this period in time, that operating leverage will be there.
Jeff Rosenberg - William Blair: Okay. The other question I wanted to ask also related to the same presentation at the analyst day, which was moving the mobility sector back into I think a 15%-plus growth trajectory, and I was wondering what the timeframe you feel like that is in order to be able to get there. Because even as you continue to ramp over the next couple of quarters -- well, into the quarter you’ve guided for, you’re still sort of bumping up against flat and so is it sort of as we get through the disappointment of seasonal ramp and through the February quarter? Or how would you characterize how we should think about how soon, or your visibility into getting back to 15% plus growth in mobility?
Timothy L. Main: I think we’ll track against some easier comparables, anyways. I think you’ve got to go back all the way to Q107 before you have a real robust quarter in mobility. I think that quarter was -- (Multiple Speakers) So I think next quarter, the guidance was pretty robust and I would expect to see year over year, Jabil tracking to that 15% growth level in the present case.
Jeff Rosenberg - William Blair: Okay, thanks.
Operator: Your next question comes from the line of Louis Miscioscia from Cowen & Company.
Louis Miscioscia - Cowen & Company: Okay, thank you. Tim, could you go back to the comments that you made about the macro environment? I think you sort of said two things. I just want to make sure I understood those correctly. One was that it appears as if the macro environment might be deteriorating but then also that you are expecting it to be more stable. If you could just maybe help clarify that.
Timothy L. Main: I’m comparing what our experience is and what we see in terms of production levels with exogenous indicators, to mean what you read in the press, what you read in the Wall Street Journal, what the latest federal indicators are and so forth. So those flags, those indicators appear to be weakening and I don’t think there’s -- I don’t think I’d get much argument there from anybody. What I’m saying is relative to what we see in terms of production levels with our customers overall in total. That increasing negativity or weakness in economic indicators doesn’t seem to be manifesting itself in our production levels today. And I think everybody should be forewarned that if the economy deteriorated and that started to show up in our production levels, then you know, this condition continues. We’re basing our outlook on a continuation of a weak but somewhat stable economic environment, so we are not banking on any type of robust recovery. If we did get a recovery, then our numbers could actually be better. If the negative indicators that we read about in the newspaper and on TV constantly drilling into our heads that things are very poor, then things could be lower than what we’ve guided to. So that’s a caveat in an environment like this. What I am saying is that based on our present production levels with customers, we are not seeing a significant deterioration. Things have not changed materially or significantly for us in the last 90 days.
Louis Miscioscia - Cowen & Company: Okay, and you probably would say that you get about 60 decent days of visibility here.
Timothy L. Main: Well, you know, you’ve been in this business a long time. You know we have visibility for a year from customers. It’s probably only worth the next 60 to 90 days and even then, if they are abruptly hit with things that they didn’t anticipate, they may change their schedules as well.
Louis Miscioscia - Cowen & Company: One last question on the same topic, how much do you get the sense or the feeling from customers that they are obviously just asking you to keep the production levels because in case things do improve, they don’t want to get cut short and then all of a sudden we get to maybe the end of 60 days and unfortunately things change dramatically from just the past experience with those situations you’ve had.
Timothy L. Main: I don’t get the impression that we are being led on by customers at this point, and we do have some cross-checks and we do have some visibility into our customers’ inventory levels, so I don’t believe that we are being in appropriately led by customers. I don’t think it’s, you know, they are hiding anything from us.
Louis Miscioscia - Cowen & Company: Okay, and one quick -- (Multiple Speakers) Yes, yes, it was. R&D seems to be moving around a little bit. Is that basically just some quarters you are just getting paid for it and some quarters you’re not, and that’s why it’s sort of a little choppy here?
Timothy L. Main: I’m sorry, Lou. We were having a little sidebar. What was the first part of the question?
Louis Miscioscia - Cowen & Company: Sure. R&D seems to be a little bit up and down. Just wondering, is that just because certain quarters you get paid some for it and some certain quarters you don’t?
Timothy L. Main: That’s really the variation, is when customers pay [NRE] sometimes and sometimes they don’t. We’ll run off a program and it might be a quarter or two before another program starts up, so I think you can expect to see a couple million dollar variation there from time to time. We typically have decent visibility into the next quarter though.
Louis Miscioscia - Cowen & Company: Okay, thank you.
Operator: Your next question comes from the line of Matt Sheerin from Thomas Weisel.
Matt Sheerin - Thomas Weisel Partners: Thanks. I just wanted to follow-up on the questions regarding the display business. Obviously it’s been weak for reasons you stated. Could you tell us what, and you are looking to build revenue, what revenue run-rate would you need for it to get back to profitability? And as you look at customer opportunities, particularly outside of Europe, are there opportunities out there to bring in new business and are you pursuing that?
Timothy L. Main: We have been pursuing new business. I think that for that business to be profitable to a level that would be considered acceptable, we’d probably need in the $300 million to $350 million a quarter type of run-rate. We certainly have the customer base that would support that today. We do not currently have the outlook though to support that, so that’s one of the things and we’ll be assessing that over the next few quarters, is can we develop enough business with the present customer base, which is actually a very good customer base, to get us into that $300 million to $350 million a quarter run-rate, on a more consistent basis than one quarter a year.
Matt Sheerin - Thomas Weisel Partners: And then on the automotive business where it looks like it’s finally a little bit more stable for you, the guidance looks more seasonal than anything, could you remind us what the geographic mix of your customer base is, particularly exposure to the big three in the U.S.? And then just comment on the project wins and some of the incremental business that you are bringing on there.
Timothy L. Main: You know, I don’t have a big three exposure number. We have a big European customer in automotive and we have two North American customers. The newest North American customer I think has done a fabulous job of diversifying their customer base to -- particularly the Asian vehicle manufacturers, and most of our customers have -- really is the Asian manufacturers and even some of the European manufacturers have been comparatively more attractive opportunities for them, have developed real businesses there. But I’m sorry, Matt, I can’t tell you exactly what our big three exposure is.
Matt Sheerin - Thomas Weisel Partners: Okay, that’s fair. And then Forbes, just a quick question on the tax rate; you guided for about 19% this quarter. Should we be thinking about that level for FY09 as well?
Forbes I.J. Alexander: Yeah, I believe that’s an appropriate rate to use, Matt, yes.
Matt Sheerin - Thomas Weisel Partners: Okay. All right, thank you.
Operator: Your next question comes from the line of Shawn Harrison from Longbow.
Shawn Harrison - Longbow Research: Good afternoon. If we could just maybe talk a little bit about the ramp timetable for that new telecom customer -- are we looking more early part of ’09 for that to begin to ramp, or beyond that?
Timothy L. Main: Telecom by its nature is a slower ramp type of business, so I think you should count on that being a multi-quarter ramp process. I think it will eventually be a material customer for us and we certainly hope it to be.
Shawn Harrison - Longbow Research: Okay. And then just a follow-up question on cash deployment. I know you have another say $50 million in cash for the restructuring here. You know, generating another incremental $100 million in free cash flow in the August quarter, how should we expect that to be deployed going forward? Some working capital, some CapEx, but beyond that?
Forbes I.J. Alexander: Well, currently our main thoughts are continue to fund our growth. If you look over the next couple of quarters, while we are not giving any guidance into our first fiscal quarter that’s typically a very seasonally high quarter for us, with our consumer base of customers. And as history will show you, we tend to either consume cash or pretty close to break-even in that fiscal quarter, as we see growth there, seasonality with that cash coming back into the company in the February quarter. So as we see things right now, we are pretty comfortable with our dividend levels where they are and we use cash currently through the next couple or three quarters to fund the continuing growth that we see. And once we get into the second fiscal quarter, we’ll revisit that and determine what the appropriate actions may be.
Shawn Harrison - Longbow Research: Okay, and then just one quick follow-up; that incremental $50 million in cash restructuring cost, what should we expect in savings from that in terms of a dollar amount?
Forbes I.J. Alexander: Well, we talked before about $10 million in the fourth fiscal quarter. Some of that’s come into Q3, so let’s call is 7 there. And then you are probably looking to maybe another $10 million over that timeframe. A lot of the costs, the cash that’s leaving the company over the next three fiscal quarters is really a result of the cost [avoidance] out of some of our Western European facilities that we are downsizing in a pretty dramatic fashion.
Shawn Harrison - Longbow Research: Okay. Congrats on the quarter.
Operator: Your next question comes from the line of Sherri Scribner from Deutsche Bank.
Sherri Scribner - Deutsche Bank: Thank you. I was just curious if you could maybe comment a little bit on your inventory levels in the quarter. They ticked up a bit. Is there anything there that we should think about?
Forbes I.J. Alexander: Nothing particular, Sherri. You’re absolutely correct; it ticked up about $29 million and about a day there. Some of that is pre-positioning for some of the growth that we are seeing quarter over quarter, but I’m optimistic that we can take care of that day back out as we move through the next quarter here.
Sherri Scribner - Deutsche Bank: Okay. And then if I look at the debt levels, Forbes, you gave some pretty good detail about how you are changing the capital structure, adding another $150 million and then another -- it sounded like a revolver in Europe. You’ve added about $250 million sequentially to your debt levels and increased your leverage a bit, and I’m just curious -- you know, you are generating a decent amount of cash. What’s the logic there for adding that debt?
Forbes I.J. Alexander: It’s to give us flexibility. As I said a little bit earlier on, we do see some great growth opportunities here across the coming quarters and certainly over fiscal year ’09, so again it just really gives us stability in our capital structure, spreading some of these debt elements out to 2018 and gives us lots of flexibility, as I say, to grow the business. And then we’ll see where we go with that and whether that be opportunity to increase dividend or stock repurchase at some point in the future, you know, we’ll look at that.
Timothy L. Main: Sherri, keep in mind that the $150 million add-on to the 250 8.25 10-year senior bond was really a completion of an intended $400 million deal that we wanted to do in January, but the credit markets just slammed shut on us and we weren’t able to do the full 400, so it’s really a completion of the capital structure plan that we talked about actually late in ’07 as a result of the Green Point acquisition. So that was an $800 million long-term investment that we put into 10-year, five and 10-year money on our balance sheet through the bank term loan and our $400 million deal. The Euro-Asian AR securitization program, I believe that’s a 364 day facility, so that’s kind of a short-term but as Forbes said, it’s very, very low cost money and I think a good way for us to fund the business.
Sherri Scribner - Deutsche Bank: Okay, thanks. That’s very helpful. If I could just squeeze in a quick question, maybe Tim, you’ve been talking about the overall EMS industry. I think you said the potential to grow 10% to 15% in the future and clearly we’ve had some slower growth recently with some customers falling off and the weakness in the economic environment. When do you think we start to see that 10% to 15% growth? Is that in the middle of fiscal ’09 or -- I mean, I don’t expect that we’ll see it this year clearly, but when do you think we’ll start to see something like that?
Timothy L. Main: Sherri, we haven’t issued any guidance in ’09 but I would expect ’09 to be a much better year than ’08.
Sherri Scribner - Deutsche Bank: Okay. Thank you.
Operator: Your next question comes from the line of Sean Hannan with Needham & Company.
Sean Hannan - Needham & Company: Yes, thank you. Sorry to beat a dead horse, but if I could just kind of drill into mobile again, you’ve talked for a little bit of time around a lot of the new programs that you are taking on and if there’s a way perhaps to get a sense of how these programs are focused in terms of whether these are more middle, lower tier -- I know that you had mentioned Apple so obviously that gets to a different end product, but if there is a way to provide a little bit of color around that for these new programs with your customers.
Timothy L. Main: I’m not sure if I can do that, other than to say that -- I mean, generally speaking our activity has historically and today is more pointed at the mid- to high-end range of the product lines, and certainly our mechanics capability with decorative coatings and metals that we do is clearly directed more towards the mid- to high-end product ranges of our customer base. That said, I think we’ve got very strong capabilities out of our India, Ukrainian, and Chinese factories that can support the low-end needs of our customers and we are fully committed to be a full service supplier in those marketplaces.
Sean Hannan - Needham & Company: Okay, that’s helpful. And then secondly, this was a topic, Tim, I think that you had brought up on the last call but we didn’t really hit on it this time and it’s a small portion of your business, but is there perhaps a way to provide a little bit of incremental color around your outlook and performance within military and what you are seeing there?
Timothy L. Main: You know, we haven’t been breaking that out although I think we talked about it a little bit at the analyst meeting and have done some drill-downs. The defense and aerospace business is actually doing quite well for us now. You know, I think a $250 million to $300 million a year run-rate is kind of generally the position that we are in today and I think over the last -- you know, it’s taken a long time to develop the manufacturing and relationship confidence to really penetrate that market in a more mature way but at that kind of run-rate, I think it’s well-positioned for good growth.
Sean Hannan - Needham & Company: Okay and then lastly, if I could just jump into storage for a moment, in separating that out from your larger group of computing and storage, is there anything that you are seeing there from your customers and just kind of general sentiments within the enterprise?
Timothy L. Main: You know, most of our computing and storage sector is storage and most of that storage is enterprise level storage, and we have some great customers in that area -- Network Appliance, EMC, IBM, HP, and others, and that’s actually been pretty strong. Even through this kind of slack economic period, it’s continued to be fairly strong for us and we are really investing in that area, both in design, our mechanical capability, our global fulfillment capability, we’re really -- we want to make that a real cornerstone of strategic advantage for our company and it’s a real target sector for us. So we are going to continue to invest in our capabilities there and really strengthen our position as rapidly as we can.
Sean Hannan - Needham & Company: Okay, that’s very helpful. Thank you.
Operator: Your next question comes from the line of William Stein from Credit Suisse.
William Stein - Credit Suisse: Great. It sounds like I got in just under the wire. First I’d like to retouch on the inventory question; Forbes, on last quarter’s call, or maybe it was Tim, you guys spoke about customers pulling down demand at the end of the quarter and that was what caused an inventory build in fiscal Q2, and you expected to bring down inventories by I think $50 million to $75 million in fiscal Q3, yet here we have another build. I’m curious -- what changed? I know you said earlier that you may be building for better anticipated demand. Did you see a change in the demand picture during the quarter that made you decide to do that?
Forbes I.J. Alexander: We don’t effectively decide to build the inventory. That’s really driven by indication from our customers, obviously, and purchase orders for products, which drive that demand in. So the build-up here, it’s big, it’s $20-odd million. It’s nothing overly dramatic when you look at the growth that we have leading into Q4 here. But there are some areas of our business where we are building smaller lots, particularly in the areas of instrumentation and medical, as some areas of our business where you are only looking at inventory turns of maybe four or five a year -- you know, best case six in those industries. So you know, we’ve got a little bit of work to do internally in improving some of our processes there. But nothing dramatic in that area. So there’s nothing material going on in terms of what we saw coming out of the quarter and the corrections there are what we are seeing coming out.
William Stein - Credit Suisse: Okay, great. And then also on automotive, we’ve spoken a bit about the other unprofitable or the traditionally profitable segment, the displays and looking at a two to three-quarter analysis period I think you said. Now, automotive apparently turned a profit this quarter. Do you view that as sustainable at the current run-rate or is it something that’s kind of touch and go? What’s driving the change there and do you see it as permanent or not?
Timothy L. Main: What drove the change there is better operational performance and more revenue and we’ll probably take a step back this quarter but it’s a seasonally down quarter -- it has been since as long as I can remember. And so that should be expected a little bit and I think automotive has a great opportunity to swing back to profit in fiscal Q1 and have some sustainable improvement in their outlook.
William Stein - Credit Suisse: So Tim, should I take that to say that for you to think that segment is more or less off the table as far as what you might go away from if you can’t turn it around? I mean, in other words, do you view this as sustainably profitable now?
Timothy L. Main: I think we would like to see consistent results first and keep the pressure on the people that run that sector for us and so we need to see more than one data point on the chart. But it certainly fits with our strategic outlook and there’s no reason that it cannot conform with our financial objectives. So I think we have a high level of commitment to make this work but to be fair, we’d like to see two or three quarters of improving results before we would take the pressure off the people running that business.
William Stein - Credit Suisse: Thank you very much.
Beth A. Walters: Operator, we have time for one more question.
Operator: Your next question comes from the line of Alex Blanton with Ingalls & Snyder.
Alexander Blanton - Ingalls & Snyder: Good afternoon. First, I’d like to just ask a question regarding a story that was on Reuters this morning at about 3:00 a.m. regarding the weakness that has been seen in Foxconn this year, down 50% for the year, down 6% they said yesterday, or the day before, I should say. And -- yeah, yesterday and [Commpow] also down 6%, and blaming some of that weakness on fears that there would be cost increases in labor and other cost elements in Asia for those Asian companies and your competitors. Could you comment on how that might affect you and what the differences might be between what their experience would be? Because I think that the weakness in those stocks has also slopped over into weakness in some of the North American companies and it may not be appropriate.
Timothy L. Main: Yeah, thanks for teeing that up because I think one of the dynamics that happened after the 2001-02 recession is there was a headfirst move to China in particular as companies legitimately [uprooted] to reduce costs and rationalize the supply chain, and a very attractive solution was a fixed base of operation, vertical campus, everything in one place, so build in the cheapest location in the world and export from there. And that was, for Foxconn, obviously, fabulously successful for them, maybe less so for some of the OEMs that you mentioned. But generally has been favorable for those that had limited global operations but significant vertically integrated China scale. And I think what we will see going forward is OEMs really desiring to have a more diversified global footprint. So some of the companies that fail to invest in a global IT systems, sophisticated demand/supply management tools, order fulfillment capabilities around the world, really developing the capability to transition production from one location to another globally, either for cost or for customers to opportunistically generate market share within targeted markets like the BRICs. Companies that made those investments I think will benefit from them going forward. Because another dynamic, aside from the escalation of taxes and labor costs within China is a fundamental increase in logistics costs around the world and as fuel prices continue to increase, logistics costs will increase and OEMs will offer to reduce their carbon footprint around the world and they will continue to get pressure from NGOs and others to reduce the complexity and the amount of logistics that they employ to get their product to market, all of which I think will play into fundamentally strong broad-based global footprint supported by the world-class sophisticated IT systems of people. So I think looking forward, the types of strengths that Jabil can bring to the table will compare very well against the other choices in the marketplace. I don’t know if that has anything to do at all with weakness in stock prices in North America or China, or Taiwan. But if you invite me to get on the soapbox and talk about a relative advantage or disadvantage, that would be my point of view on it right now.
Alexander Blanton - Ingalls & Snyder: Thank you. The other question I have is regarding -- Forbes, regarding the 18% incremental margins you’ve talked about with the first $1 billion. I’m having a little hard time with some of these numbers because if your sales for this year were up 15% let’s say for next year at the high-end, that would add $1.9 billion. And if you get 18% on the first $1 billion, let’s say you only get $23 million or $25 million on the second $900 million, or about 2.5% incremental on that, it gets you to a 4% operating margin on the total sales. But it also gets you to $1.90 a share. So that seems a little bit excessive to me in view of the current numbers people are expecting. But even if you reduce that to say $1.60, that will give you about a 3.4%, 3.5% operating margin on those sales. You would only be getting a 6.5% incremental margin on the whole and you would only be getting $124 million on the additional $1.9 billion of sales. So it doesn’t seem to add up. I mean, the 18% seems to be too high. It’s giving us a number that’s way above anybody’s expectations.
Timothy L. Main: Well, I think it’s only too high because it doesn’t fit with the valuation picture. I mean, and it doesn’t fit with the valuation picture even at 3.5% operating margin. So what the market must be discounting is any ability to grow the business. That’s kind of the way I would look at it and if you believe that we can grow the business, whether it’s 3.5% or 4%, will make the present valuation of the company look extremely low.
Alexander Blanton - Ingalls & Snyder: It would seem that way. Thank you.
Beth A. Walters: Thank you very much. This concludes our conference call for today. We’ll mention to people that Jabil management will participate in an interview tomorrow morning on Bloomberg at 6:40 a.m. Eastern Time. Thanks very much for joining us today.
Operator: This concludes today’s conference call. You may now disconnect.